Operator: Good day everyone, and welcome to today's Ashland Incorporated fourth quarter earnings call. (Operator instructions) At this time it is my pleasure to turn the call over to Mr. Eric Boni. Please go ahead sir.
Eric Boni: Thanks Carla. Good morning and welcome to Ashland's fourth quarter fiscal 2009 conference call and webcast. We released our results for the quarter ended September 30, 2009, at 6:00 Eastern Time today and this presentation should be viewed in conjunction with that earnings release. These results are preliminary until we file our 10-K in November. With me here today are Jim O'Brien, Ashland's Chairman and Chief Executive Officer; Lamar Chambers, Senior Vice President and Chief Financial Officer; and Sam Mitchell, President of Ashland Consumer Markets. Before we start, let me note that as shown on Slide 2, statements may be made that constitute forward-looking statements as that term is defined in relevant securities laws. We believe our expectations are based on reasonable assumptions but cannot assure that those expectations will be achieved. Please turn to slide 3. Please also note that during this presentation we will be discussing adjusted pro forma results. We believe these adjusted pro forma results enhance understanding of our current and future performance are reflecting the impact of the Hercules acquisition completed last November and related accounting effects. Our fourth quarter highlights are on slide four. As compared with the prior year September quarter, our adjusted pro forma EBITDA increased 37% to $224 million benefiting from record fourth quarter performances by Ashland Consumer Markets, which is our Valvoline business; and Ashland Hercules Water Technologies. We recorded $1.30 of earnings per share from continuing operations. When adjusted for key items, which I will discuss in a moment, EPS was $0.96. We again generated substantial free cash flow totaling $305 million during the September quarter including $128 million from trade working capital. Additionally, we received net proceeds from the sale of both our Drew Marine and the redundant Shanghai headquarters facility totaling more than $140 million. We used our cash to reduce gross debt by $380 million or 19% of debt outstanding, bringing total debt down to approximately $1.6 billion. We are close to completion of our $400 million cost reduction initiative, having achieved $355 million of savings on a run rate basis. We achieved our overall EBITDA increase despite year versus year volume declines in all five of our segments with decreases in our non-Consumer Markets businesses ranging from 11% to 25%. That said volumes have increased sequentially in most of our businesses. I will provide a few details on that shortly. Now I will start our comments on earnings with key items on slide five. Two key items affecting operating income in the fourth quarter, the first of these was severance and accelerated appreciation charges totaling $23 million or $0.20 per share after tax and included $3 million of non-cash accelerated depreciation. The severance was largely related to the $100 million of additional cost reductions we announced in our July call. Operating income was positively affected by significant reductions in our insurance reserves, resulting from lower than expected claims experienced. During the quarter, we retired significant portions of our term loans A and B that were part of the financing package for Hercules. As a result of this early retirement, predominantly non-cash debt issuance cost amortization, which appears in the income statement as interest expense, increased by $9 million pre-tax and reduced earnings per share by $0.08. In addition, the gain on the sale of Drew Marine increased earnings by $56 million or $0.50 per share. The net benefit to reported earnings from all of these key items was $0.34 per share. In the year ago quarter, key items affecting operating income totaled $0.04 per share. Please turn to slide six for our adjusted pro forma EBITDA chart. For the September quarter, our adjusted pro forma sales declined 25% versus the year ago quarter to $2.1 billion. Gross profit as a percent of sales was 680 basis points above prior year, while SG&A expenses decreased by 12%. Operating income increased by 78% to $142 million and EBITDA rose 37% to $224 million due primarily to price and cost management. Our EBITDA margin increased by 480 basis points to 10.6%. Please turn to slide 7 for our EBITDA bridge. Our EBITDA bridge shows the factors affecting our comparisons for the fourth quarter for fiscal 2008 and 2009. The positive impacts of margin improvements were more than $30 million greater than the negative effects of volume reductions. With the exception of Ashland Distribution, all of our businesses were important sources of margins improvement, will each contributing significantly more than $10 million, a positive margin impact. SG&A expenses, excluding the effect of currency translation, declined by $36 million versus the prior year quarter due to our cost reduction initiatives. As a reminder, our furlough program was essentially completed by the end of June, and the $18 million benefit that we saw in the June quarter was not repeated in this quarter. Please turn to our cash flow statement on slide eight. For the fiscal year, Ashland generated more than $1 billion in cash flows from operating activities, $378 million of which was generated during the fourth quarter. During the September quarter, we generated $254 million of cash with changes in operating assets and liabilities, which includes working capital. Capital expenditures for fiscal 2009 were $174 million, and although not shown on this chart, on a pro forma basis, which adjusts for the period we did not own Hercules, were $193 million, slightly below our $200 million previous guidance. Please turn to slide 9 to see the favorable impact of debt reduction on our credit statistics. With our debt reduction efforts this quarter, our debt-to-EBITDA ratio is now just 1.7 times. As a result of achieving this leverage ratio, our interest rate spread has been reduced by 50 basis points on our term loan A and revolver. It is now just 275 basis points over our LIBOR floor of 3.25%. Our fixed charge coverage also improved during the quarter and is now three times, and our net worth is approximately $450 million greater than our covenant requirement. In 10.5 months after closing the Hercules transaction, we have reduced our debt by nearly $1 billion. Of that nearly $1 billion reduction only a little more than $200 million came from the sale of assets, but most of the remainder attributable to cash flow from ongoing operations. With gross debt now at roughly $1.6 billion, we have reached our stated debt targets. Now that we have reached our targeted debt levels, we will use our excess cash flow to increase liquidity, providing increased financial flexibility. Please turn to slide 10 to look at the progress on our cost reduction program. We have achieved run rate savings of $355 million from our cost reduction program. During the fourth quarter, we realized $84 million of savings in the income statement, including $51 million in SG&A savings. As compared with fiscal 2009, we would expect to realize $100 million of incremental savings in our 2010 income statement from our cost reduction program, primarily resulting from the full-year impact of the program. Please turn to slide 11 for our recent volume trends. As you can see on this chart, our businesses, excluding Consumer Markets, experienced dramatic volume reductions during the December 2008 and March 2009 quarters. Since then, the markets appeared to have settled and we are seeing improvements in volumes on a sequential basis. On the whole, sequential volume increases averaged about 5%, and ranged anywhere from 2% in Ashland Aqualon Functional Ingredients to 8% in Water Technologies. I would point out that seasonality for the December quarter historically represents a 5% to 10% volume headwind versus September for Ashland as a whole. I will now turn the presentation over to Sam Mitchell to discuss Consumer Markets’ results and trends starting with slide 12. Sam.
Sam Mitchell: Thanks Eric and good morning. Lubricant volume for Consumer Markets Valvoline decreased 3% from the prior year quarter largely driven by a decrease in private label volumes, while Valvoline branded US lubricant volumes increased 3%. Premium brand volumes increased 7% from a year ago. Sequentially, however, volume was up 7% following a very strong June quarter from lower lubricant volumes in the “do it yourself” or DIY market channel. We had a particularly strong slate of promotions with DIY retailers in June and July behind our Valvoline Engine Guarantee launch and most of this volume shift in May and June. Sales decreased 9% versus the prior year quarter mostly from the overall volume decrease and weaker foreign currencies. Gross margins improved from 19.2% a year ago to 35.5% in the September 2009 quarter. September quarter margins improved as a result of pricing actions, cost saving initiatives and a continued increase in sales of premium brands. The gross margin decline from the June quarter was the result of higher raw material costs during most of the quarter. SG&A expenses increased by 6% versus the September 2008 quarter and 9% versus the June quarter primarily from higher advertising expenses in support of the Engine Guarantee program. Earnings improved significantly in all of Consumer Market segments and in all geographies versus the prior year. As a result, EBITDA more than tripled to $79 million. The $24 million EBITDA reduction from the June quarter is the result of lower volumes, increased raw material costs and higher advertising expenses. That said consumer markets achieved record EBITDA for the fourth quarter and for the full year. Slide 13 shows consumer markets EBITDA bridge. It is important to note that the September 2008 quarter suffered from a significant spike in raw material costs and the resulting compression in gross profit margin as offsetting pricing actions did not begin to take effect until the following quarter. As you can see, by far margin was the driver of earnings growth versus the prior year September quarter. Margins improved in both lubricants and non-lubricant sales. Valvoline engine oil change continued to show broad-based growth with the number of voice changes per day up 5% versus the prior year and the average ticket up 3%. Now I will highlight key trends and initiatives in our major business units on slide 14. One of our more important achievements in 2009 was growing market share by approximately 2 points in our DIY business. This was accomplished by working closely with key retailers to execute more effective promotion events, increasing our advertising impact through our Engine Guarantee program, and focusing additional marketing efforts on the important (inaudible). The results are encouraging to see solid category growth in lubricants throughout the summer. Our Valvoline engine oil change business continued to make impressive progress. As our company-owned stores posted same-store sales growth of 8% for the year, and what has certainly been a difficult retail environment, this is the third consecutive year of same-store sales growth. Our franchisees representing nearly 600 stores are also critical to our success. And we are pleased to see results consistent with those of our 259 company-owned stores. We are bullish on the future of this business as we continue to make operational improvements, and working closely with our franchisees, win the trust of more car and small fleet owners. Our “do it for me” or DIFM business with independent installers was negatively affected by the economic slowdown in 2009. As volumes with many existing customers were down more than 10%, we were however able to mitigate some of the impact by winning new national account customers during the year. And consistent with the DIY market, we have seen positive volume trends in recent months. While this business is highly price competitive, our strategy differs from competitors as we have demonstrated success in working more closely with installers to improve their operations and sell a broader product line. Our Valvoline International business, which includes the global, commercial and industrial market, now represents approximately 20% of Consumer Market revenue. During the first half of fiscal 2009, volumes in this business were negatively affected by the global recession, but has stabilized during the second half of the year. Despite the soft demand, this business delivered record earnings in fiscal 2009 as a result of good margin management, expense controls, and currency translations benefits. There are many short and long-term growth opportunities in this business. One particular focus is on developing business with fleet customers and equipment manufacturers adding a number of new customers in 2009 including (inaudible) and Mahindra, an India-based global manufacturer of tractors, household equipment and SUVs. Now turn to slide 15 to discuss factors influencing our margins. While raw material costs and competitive dynamics certainly can impact margins, the Consumer Markets team has made significant progress with internal improvements. We continue to focus on identifying and executing product cost savings opportunities, while maintaining the highest standards of product performance. These initiatives have delivered approximately $30 million of structural cost improvements in 2009. DIY business growth, particularly with the growth of our premium segment brands has had a positive effect on margins, and the Valvoline engine oil change business is also contributing to improved margins. As we begin fiscal 2010, we expect to have a continued dynamic cost price environment throughout the year. We are focused on offsetting any current or future raw material increases with both pricing actions and further cost reduction initiatives. Although there is a lag in recovering these increased costs. As we mentioned last quarter, base oil cost increases totaling $0.40 per gallon were announced in July, although we didn’t feel the full effects of these increases during the entire quarter. We announced price increases to customers in August that should nearly offset the impact of the base cost increases. This price increases become effective beginning in November. Consumer Markets has been a long-term private-label supplier to the US warehouse distributor segment. While we have strong relationships with warehouse distributor customers, this business is very price competitive and is expected to have a reduced gross profit this year, lowering the overall gross profit percentage for consumer markets by approximately 1% of sales. Please turn to slide 16 for our outlook. Ashland Consumer Markets achieved an all-time record of nearly $219 million of EBITDA in fiscal 2009. While we do not expect to repeat this performance in fiscal 2010, we are expecting another strong year. As we have positioned Consumer Markets to be successful under a variety of economic backdrops. As we noted in our last call, in June we launched a first of its kind Engine Guarantee program across the United States. Motorists who use Valvoline motor oil regularly can have their engine guaranteed up to 300,000 miles. Early results have been very positive. Our market share is up significantly in retail auto parts since June, including strong share growth of Valvoline MaxLife and Valvoline Synpower. Driving premium mix is beneficial for Valvoline and for retailers and installers. And one reinforcing data point is that to date consumers enrolling in the program are registering for the 300,000 mile synthetic use guarantee at twice the rate that synthetics are used by the general population. Of course, the program is also designed to drive loyalty to the Valvoline brand. And in Valvoline engine oil change stores, our research shows a 12 point improvement in the customers’ likelihood to return. Our job at Consumer Markets is to build on the strength of the Valvoline brand. Great product performance is the foundation. We build on that foundation by investing in marketing initiatives that drive consumer preference for Valvoline. And we partner with retailers, installers, Valvoline engine oil change franchisees, consumer fleets, commercial fleets and industrial customers to strengthen our value proposition in ways that drive their success too. While the markets that we compete in continue to be highly competitive, we plan to build on the momentum that we have across our businesses for long-term success. And with that I will turn the presentation over to Lamar Chambers. Lamar.
Lamar Chambers: Thank you Sam and good morning. Please turn to slide 17. You will note we have added for this quarterly review sequential comparisons to highlight some of the near-term trends we are seeing in our sales and earnings. Turning to Functional Ingredients, metric tons sold dropped by 21% versus a year ago quarter and sales declined by 18%. Regulated market experienced a 10% volume decline as compared with the prior rear quarter largely driven by the food segment. This was roughly the same decline as was experienced in the last two quarters. The energy and specialty business increased versus the June quarter although volume was still down greater than 50% versus the prior rear quarter due to low levels of gas drilling activity. The construction business was down 23% versus the prior September quarter and compares favorably with the 28% year versus year decline experienced in the June quarter. Our coatings [ph] business increased 7% over last year as our new product introductions continued to generate substantial business. Regionally, Functional Ingredients were strongest in Asia-Pacific with only a 9% decline versus the prior rear. Gross profit as a percent of sales increased by 310 basis points over the prior rear quarter. SG&A expenses were 2% above the year ago quarter. And bridging between reported and pro forma results, please remember that there were $9 million in severance expense that affected SG&A. Overall EBITDA declined by 16% to $56 million in the September quarter, and represented 23.6% of sales, a 40 basis point improvement over the prior rear quarter, and 210 basis point improvement sequentially. Let us take a look at Functional Ingredients EBITDA bridge on slide 18. As this chart shows, volume reductions drove the lower EBITDA versus the prior year. Favorable raw material and energy costs versus a year ago eliminated a significant portion of the impact to lower volumes. Pricing was negative by $4 million in the quarter, while raw materials, energy and freight were favorable by $17 million. Please turn to slide 19 for Water Technologies’ results. Revenue declined 14% versus the year ago quarter for volumes were down 11%. As a remainder, we sold the Drew Marine business on the last day of August this year. Thus results for the September quarter include only two months of the marine business, while the same quarter last year of course had all three months. North American volumes were down roughly 5% versus the prior September quarter, while other regions experienced larger declines. Sequentially, however, volumes were up 7% with all regions reporting improvements, particularly Latin America, which increased by more than 20%. Our growth markets, which includes such markets as tissue and towel, packaging and mining, had sales growth of 10% sequentially with most other markets also having positive trends. (inaudible) for selling such high-volume products as polyacrylamide, driving additives and more strength [ph] chemicals delivered 8% sequential sales growth. At 36.7% of sales, gross profit significantly improved primarily due to decreases in raw material factoring costs combined with favorable mix. EBITDA increased by $31 million to a total of $66 million in the quarter, representing an increase of 780 basis points to 14.2% of sales. Let us move to the EBITDA bridge on slide 20, the increases in margin significantly more than offset weaker year versus year volumes. Reduction in SG&A primarily due to integration savings and reduced travel expenses provided $18 million of additional EBITDA, excluding currency translation. Currency translation resulted in a $5 million negative impact to earnings. Please move to slide 21 for Performance Materials results. Pounds per shipping day declined 25% versus the prior rear quarter, an improvement over the 36% year versus year decline that occurred in the June quarter. Revenue declined 37% as compared with a year ago quarter. We continue to believe these declines are consistent with the overall composites and castings markets. While volumes in our composites business was down 21% versus the prior rear quarter, it was up 4% sequentially driven by some recovery in the transportation and construction markets and despite seasonally weaker sales in Europe. China was fairly flat versus the prior rear quarter and much more profitable. The castings business experienced a significant 63% volume increase in the month of September versus August as a result of both seasonality and the US "cash for clunkers" and some more foreign programs. Gross profit as a percent of sales increased 270 basis point versus a year ago September quarter. It was down sequentially by 280 basis points as increased propylene glycol and styrene cost were not fully offset with price increases during the quarter. SG&A expenses improved by 18% or $11 million versus a year ago quarter as a direct result of the cost reduction actions taken during the past year. These improvements were not enough to offset the volume declines, and performance materials EBITDA decreased by 40% versus the prior year quarter to $12 million or 4.5% of sales. Please turn to slide 22 for Performance Materials EBITDA bridge. Volume reductions reflecting the continued weak automotive, construction and recreational marine markets negatively affected profitability by approximately $30 million. Improved margins mitigated half the volume decline. SG&A improved by roughly $9 million, excluding currency translation in the September 2009 quarter, largely reflecting headcount reductions. Added together these improvements were not enough to overcome the weak demand. Now let us turn to Ashland Distribution on slide 23. Volume per shipping day decreased 18% versus the prior year quarter in the distribution business. Volumes in our plastics and chemicals businesses declined less than 15%, when we exclude the eight percentage points of decline reflecting the termination of our aliphatic hydrocarbons distribution arrangement with Marathon in the March quarter. Overall sales dropped by a third to $771 million, as average selling prices were 18% below the same quarter last year. Our gross profit as a percent of sales was up by 70 basis points over the year ago quarter. It declined sequentially as selling price increases averaging 4% during the quarter lagged product cost increases. We reduced SG&A expenses by 23% partially offsetting the volume declines. Overall EBITDA was down 40% versus the prior rear quarter. Now please turn to slide 24 for distributions EBITDA bridge. During the quarter, SG&A expense reductions were not enough to offset the impact of the 18% reduction in volumes. Now please turn to slide 25, and I will cover a few corporate items you want to know when you are updating your 2010 models. As you may be aware, we announced on October 1 that we plan to contribute up to $100 million of Ashland stock to our pension plan in early November. This contribution reduces both future funding requirements and pension expense. As a result, our pension expense was only expected to increase by approximately $15 million for fiscal 2010. If we're adjust our September 30, 2009, funding position for this $100 million contribution we would be funded at 83% of our ABO and 79% of our PBO and we anticipate another $40 million in remaining funding requirements in fiscal 2010, primarily related to various foreign plans. Our $1.6 billion of debt carries a blended interest rate of approximately 8.8%, which amounts to roughly $140 million a year of cash interest expense. Our reported interest expense includes an additional $35 million or so of debt issuance costs and other amortization. Our current expectation is that our full year 2010 tax rate will be in the low 30% range as opposed to the 22% implied tax rate on our adjusted earnings in the September quarter. Let me caution you that events in any given quarter can cause significant fluctuation in the effective tax rate for that quarter. There is considerable variability due to ongoing developments and negotiations with government tax authorities around the world as well as changing forecasts of normal taxable income, including the mix between foreign and domestic sources. We have also made significant progress on our working capital investment over the past two years, particularly in our Ashland Distribution segment, where we have reduced investment in working capital by more than $275 million during the period. For Ashland overall trade working capital as a percentage of sales has decreased by roughly 3.5 percentage points. For fiscal 2010, we expect to maintain or slightly improve our working capital in relation to sales. Capital expenditures are expected to be $200 million for 2010. With that please turn to slide 26 and Jim O'Brien with conclude.
James O'Brien: Thank you Lamar. This year had been an extraordinary year both for Ashland and the global economy. Like most businesses, Ashland has taken unprecedented action to cut cost and resize itself to fit (inaudible) stepwise reduction in global demand. I'm proud of the work that we have accomplished to position the company to perform well in what maybe an uneven and bumpy recovery. And through this period, we have demonstrated our ability to generate cash even in a difficult economic environment. Our businesses generated over $1 billion of cash flow from these operations this year. This was primarily a combination of cash earnings of well over $400 million for the businesses and driving nearly $500 million out of our investments and operating assets and liabilities, mainly working capital. We took the cash generated and paid down debt and we now have $1 billion less in debt than we did less than a year ago. We have been very focused on aggressively taking costs out of the business, and we have now completed more than $350 million of our $400 million cost reduction program. When this work is finished in fiscal 2010, I don't anticipate introducing any new corporate wide initiatives, although we will continue to maintain our focus on cost efficiency. An important accomplishment in 2009 has been the successful integration of Hercules and particularly the Water Technologies’ business. We had historically suffered from lack of scale in the Ashland water treatment business, which resulted in poor profitability. The combination of Ashland and Hercules’ water treatment businesses and the shifting of resources and improvement of process have delivered quick improvement throughout this year despite the economic environment. We were able to increase EBITDA margins to the mid-teens by the fourth quarter, and we expect our progress to continue. And overall, we have achieved $130 million of synergies from the combination of Ashland and Hercules. As a company, Ashland has also been focused on pricing processes and margin management. You can see the results of this in the businesslike consumer markets. Now we are going to achieve record results due to a combination of strong gross margin management, focused marketing and excellent operational performance that increased both market share and same store sales. So why invest in Ashland. Just look at the next slide, through the acquisition of Hercules last November, we created a global specialty chemicals company with number one or strong number two positions in most of the markets in which we participate. It was sufficient scale to compete successfully. We continue to be highly focused on cash generation, and believe this is important to drive value for our shareholders. Instead of using cash generation for further debt reduction however, we will use our excess cash flow to increase liquidity, providing increased financial flexibility moving forward. The work that we have done over the last year has enabled what I believe to be a tremendous value creating opportunity for Ashland shareholders. And that value creation will come from operating leverage. We've cut nearly $400 million out of our cost structure, two thirds of which is permanent. Aggressively managed the other third as volumes recover should drive increased margins and profitability over and above historical levels. Well, our positions are less cyclical in growing markets such as personal care, pharmaceuticals, and water treatment provide stability through the economic downturns, it is our positions in some of the more cyclical industries such as transportation and construction, which may provide disproportionate top line growth opportunities as these industries recover. As synergies continue to make their way to the income statement and volumes improve that is when we will see the real benefits of the operating leverage achieved in this resizing. I believe that our operating leverage coupled with our strong cash flow generation creates a compelling investment opportunity. With that we will take your questions. Do we have any questions?
Operator: Thank you. (Operator instructions) And we will take our first question from David Begleiter with Deutsche Bank.
David Begleiter - Deutsche Bank: Thank you. Good morning.
James O'Brien: Good morning Dave.
David Begleiter - Deutsche Bank: Jim, in Valvoline we have begun to see some grade of base oil move higher this week. What's the ability of you guys to offset future base oil price increases for Valvoline?
James O'Brien: I'll let Sam answer that. Go ahead Sam?
Sam Mitchell: Yes, just this week we did see one announcement made by Valero on group 1 base stock pricing, while we are not heavy group 1 user. You know, there is always potential that group 2 stocks couldn’t move up in the future, and we certainly are confident that you know, we can implement price increases appropriately in the marketplace to recover our cost. We've shown that over the last number of years in an inflationary environment and we continue to be confident of that.
David Begleiter - Deutsche Bank: Sam, what do your think normalized earnings are in Valvoline going forward?
Sam Mitchell: Well, certainly we had an impressive year in fiscal 2009, and as we look forward and as I covered in the presentation, you know, we feel very good about the fundamentals on our business. We have good momentum across a lot of our -- number of our business segments. As we look forward to 2010, we don't expect to have another record year in 2010 but we do expect, you know, continued performance at a very high level.
David Begleiter - Deutsche Bank: And Jim lastly of the non-permanent cost reductions, how much come back in 2010?
James O'Brien: I think a lot of it is tied to growth of sales. So, as sales grow that's going to you know, potentially drive travel, entertainment, those type of cost as we get more and more engaged with growth orientation with our customers, and we are I think changed our perspective of how we view a lot of these costs. I think we've learned how to operate differently, and I think we have a much better highlight, let's say of cost control because of our SAP implementation. We can now have really strong visibility of what's going on. So as we look at people's habits and where cost is actually being applied, I think we can manage it more proactively than we have in the past because we had that visibility. So I'm encouraged that we will do a much better job as we cycle through the next part of the economic growth than we have in the past.
David Begleiter - Deutsche Bank: Thank you.
Operator: Now open the floor up to Jeff Zekauskas with JP Morgan.
Jeff Zekauskas - JP Morgan: Hi good morning. Gentlemen, in the old days you used to talk about Valvoline as a non-strategic business and-- but Valvoline's characteristics have changed over time. Do you still view it as non-strategic to Ashland or is your view changed?
James O'Brien: Well, as I talked about the businesses of Ashland, the strategy has been to create a unified core around specialty chemicals and we accomplished that when we brought the Hercules and the Ashland specialty side of the company together. So we defined the company. So it's more around definition of what the company is because as you will know Jeff the -- as we transform the company going from the last three of four years, I think we are getting a much more defined view of what the company is. So as you look at Valvoline and distribution, I've described them as close adjacencies, and by that it has to do with their performance around the metrics that are required for us to see them as being a value creating concept to Ashland. For Valvoline, that metric is free cash flow generation as well as a double-digit return on sales of EBIT, and where Valvoline is performing today and where I think the business has shifted over the last couple of years through the run-up of crude, I think Valvoline has an excellent position in the market and can demonstrate excellent returns for our shareholders. Distribution is the same sort of idea, where they generate a lot of cash through management of their assets. It is more of an asset turnover business and they need a 3% return on EBIT, for us to see a true value creation for our shareholders in that area. As we look at moving forward though I've made it clear that as we continue to transform into a specialty chemical company, I fully expect that we would over time bring assets into the corporation that more true reflect a specialty chemical type design, and I fully expect over time that assets may leave the corporation but it really has to come to the alternative investment thesis versus just to say something fits or doesn't fit. It all comes down to the contribution to cash flow and the returns as it provides opportunities for us to serve the shareholders.
Jeff Zekauskas - JP Morgan: So, if I understand what you just said to me Valvoline is more strategic than it used to be. Is that right?
James O'Brien: I would say everything is strategic if it's meeting its return requirement.
Jeff Zekauskas - JP Morgan: Okay, and then lastly in the $100 million of cost you are going to take out next year. That we'll see in the -- we'll see pass through the income statement. How do you allocate the $100 million across your five divisions?
James O'Brien: When you take a look at where most of it will come out, lot of it will come out of distribution, and we've already seen some of it really take place in the fourth quarter a little bit, but they've taken a lot of the actions that are required. They will share a big part of it. Performance Materials will be the next big one, and then Water will be the third and then Aqualon will have some and Valvoline will have some.
Jeff Zekauskas - JP Morgan: Okay, thank you very much.
James O'Brien: Sure.
Operator: Now we'll go to First Analysis Mike Harrison.
Mike Harrison - First Analysis: Hi, good morning.
James O'Brien: Good morning Mike.
Mike Harrison - First Analysis: Couple of questions on Valvoline. Was curious if you can quantify the additional marketing cost that you've incurred during this quarter and how long those costs are going to stick around?
James O'Brien: Well, we'll disclose the marketing cost per se, but Sam can give you some insight on the -- I think the new program we had and the Engine Guarantee program. Maybe incrementally what that might have cost us.
Sam Mitchell: Yes. We have increased our investment behind the Engine Guarantee program. The way we look at that investment though is you know, one in which we expect to pay out in relatively a short time period. So the additional investment, you know, based on you know, the strength of that advertising proposition and its communication and effect with our consumers is one that we expect to pay off with a solid return on that investment, you know, not in the long-term as you might traditionally look at advertising but even contributing to our bottom-line performance in 2010. It is a program that we are very confident in. It reinforces the Valvoline brand proposition with customers. It's timely in that consumers are looking to take care of the cars longer, and therefore you know, it's something that we want to continue to remind our consumers that Valvoline helps them, you know, with their cars performance and keeping their car in the road running appropriately in the advertising campaign does a great job in getting that message across. So it's one that will continue to invest in for the foreseeable future.
Mike Harrison - First Analysis: Right, maybe let me ask it a different way. Your SG&A cost went up $7 million sequentially on, you know, $27 million decline in revenue. Can I assume that that increase, the delta there, you know, call it close to $10 million was the cost of the marketing?
Sam Mitchell: Not the full cost, but definitely the majority of that SG&A increase was tied to the incremental advertising investment.
Mike Harrison - First Analysis: All right, got it, and then I was also hoping that you could comment on specifically in September what was going on with respect to volumes and pricing in Valvoline, and if you could provide any comments on what's happening so far in October. It sounds like your pricing increases isn’t going to take effect until November 1st. Is that correct?
Sam Mitchell: That's right. So there weren't any price changes to speak of in September or October.
Mike Harrison - First Analysis: Right. The question on Aqualon, can you talk about where operating rates are in that business and how those have changed over the past few months?
James O'Brien: Aqualon has had a fairly stable quarter as far as prizing. They've done a really good job taking cost out of their system on their fixed cost absorption. They worked very hard on running their plants and then shutting them down as they build inventory, then bringing that inventory down and then restarting the plants. We find that much more effective than just throttling back the production rate. The other aspect is they have been able to get pricing through the last call it four or five months. So when you look at the last two quarters, their margins have increased sequentially and then that's because of the ability to get price as well as control cost through the fixed cost (inaudible).
Eric Boni: And Mike, you know, volumes sequentially are up a couple of percent. A lot of that has been driven by some improvements in the construction market. So we are seeing capacity utilization. We look better there. We still, you know, we do have a number of product lines where we are fully sold-out as well, but, you know, the big gap if you will on utilization was primarily in the construction area, and we are starting to see those come back, you know, certainly a few percent or so from last quarter.
Mike Harrison - First Analysis: When you see you have some product lines that are fully sold-out, does that mean, is that based on your lower production rate or does that mean that you're actually capacity constrained again?
James O'Brien: Well, on certain product lines we are actually, we are capacity constrained.
Mike Harrison - First Analysis: All right, and then last question I had is just a question for Lamar around this research and development line that's on the P&L. Is that something that was previously included in cost of goods sold, and are those R&D costs exclusively related to Aqualon or other pieces that you would find they come out of other businesses.
Lamar Chambers: It was previously included in our P&L and the SG&A line as opposed cost of sales Mike. It is found in all of our businesses. The Aqualon piece will be a larger share probably than the average for the rest of our businesses for sure, but that's really across the board from all of our businesses, and we'll be reporting that as we did this quarter as a separate line item in our P&L going forward.
Mike Harrison - First Analysis: All right, thanks very much.
James O'Brien: Very good.
Operator: And now we'll hear from Laurence Alexander with Jefferies.
Laurence Alexander - Jefferies & Co: Good morning.
James O'Brien: Good morning Laurence.
Laurence Alexander - Jefferies & Co: I guess a couple of things. First, can give a little bit more detail in Performance Materials, which businesses were most negative in the quarter or contributed to the loss?
James O'Brien: You know, as we look at the businesses and their performance in the general, the composite area is still, you know, still pretty weak. We are seeing some sequential improvements in that business. You know volumes were up sequentially, call it 4% or so on the composite side of the business. So we're seeing some improvements there. Of course, the castings business which is pretty heavily tied into the automotive area had a pretty difficult July and August. As we mentioned in the prepared remarks September was much better from a volume prospective, but, you know, those are the you know, two primary areas of that business.
Sam Mitchell: Yes, the area Laurence that tends to be performing for this business is Asia. Asia is up sequentially compared to quarter three, and we continue to expand our customer base there and that business is still robust and growing. So Asia is the bright spot in this business.
Laurence Alexander - Jefferies & Co: And given the progress you've made on deleveraging, are you still going to be pushing to sell those smaller underperforming businesses or is that off the table for now?
James O'Brien: We still have several negotiations taking place on pieces of business that that we think long-term may fit better someplace else. Those discussions are still ongoing. Obviously the pressure on doing something quickly is no longer paramount. So evaluation is critical in these businesses. So we get the proper evaluation for the business and we can agree to a definite agreement we would complete.
Laurence Alexander - Jefferies & Co: And finally just on the cash flow statement, are there any large dreams on cash outstanding, you know, environmental payments or any other items that we should be thinking of for 2010?
Sam Mitchell: You know, we do of course have ongoing requirements for environmental (inaudible) main areas perhaps we didn't highlight in this call as we've talked about in the past and we would expect you know, those cash outflows probably be in the $50 million to $70 million per year range on a net of recovery basis going forward.
Laurence Alexander - Jefferies & Co: Okay, thank you.
Operator: And now we will hear from Stephen Velgot with Susquehanna.
Stephen Velgot - Susquehanna Financial Group: Yes, a question on the improvement you've seen in Water Technologies margins. I was wondering if you could talk about whether or not you feel that there is further room there for margin improvement. I suppose you know, we had seen gross margins up in the 36% range back in the spring, only to you know, kind of come under some pressure in the summer, but the September margin that you reported was quite good, and I wonder what extent you think it's sustainable or you're looking for, you know, perhaps even better margins within Water Technologies?
James O'Brien: I think the story that we have around our water team is probably one of the outstanding stories along with Valvoline this year as far as what they've been able to accomplish. They pulled together these two companies, Hercules and Ashland, and made the right decisions around who the management team is going to be taking the cost out, and it did that very quickly which enabled them over the last four months to really get focused on the marketplace, and we probably got there I would say six or seven months sooner than our original plans would have dictated. So as I got more engaged with the marketplace, the decisions we are making now is around which mix are they going to sell, which product lines, how they're going to build the story about support of the customer and they're doing a much better job I think of providing a real value creation opportunity for their customers through the offering and how they service that and the methodologies using about, going about I think we are much more competitive than we ever have been. So, as a consequence we've been able to I think bring a better product mix to bear. As you look at the whole sales mix it has improved, and I think that as we have gone in service to customer, we got a larger share of wallet, which has helped us through our service costs and that service leverage, which was really the biggest detriment we had in the model previously. So I think there are a lot of different changes and this is one of the primary reasons we did the Hercules deal is to bring these business together to give us a much better foothold in this very important marketplace, and I'm convinced that we have a competitive model now that's going to deliver double-digit EBITs, which is one of our primary objectives, and create the cash flow out of this business that I think you can, again deliver. So our water team, I think is just beginning to show performance. So I'm very encouraged of what I saw in the last quarter and I think 10 should continue to improve from there.
Stephen Velgot - Susquehanna Financial Group: And just a follow up on your answer to the question about the strategic rationale for Valvoline. I suppose, I'm still little confused as to you know, now that some of the other businesses you know, are showing some traction whether or not long-term you think Valvoline belongs as part of Ashland to even if it is generating the kind of returns that you think help shareholders, why it doesn't (inaudible) Ashland shareholders to, you know, potentially have that as a separate security.
James O'Brien: Well, I think that that's always something that we review and so we understand your question and it really comes down to alternative value and the value creation idea. I think what Ashland has demonstrated over the last seven or eight years, we are very active with and analyzing how we can create value for our shareholders and we're not reluctant to make change what it truly does create value. I think the environment that we are in today with alternatives for assets, the value creation just is up there in today's market.
Stephen Velgot - Susquehanna Financial Group: Thank you.
Operator: And now we'll open the floor up to Keybanc for Mike Sison.
Mike Sison - KeyBanc Capital Markets: Hi, good morning guys.
James O'Brien: Good morning Mike.
Mike Sison - KeyBanc Capital Markets: Hi Sam, if I did the math for gross margins for Valvoline, did you end up in September somewhere in that 32, 33 given that you're running at 37 through August, and if you get the price increases in November that offset that $0.40 increase, wouldn’t gross margins go back to that 36%, 37% range?
Sam Mitchell: I noted in my comments earlier, you know, we do have no other factors that put pressure on margins, and certainly the private label businesses is one significant factor that the business that we have with a number of warehouse distributor customers because, you know, where we don't have the leverage at evolving brand. Certainly, you know, the competitive pricing environments puts more pressure on those margins, and so, you know, the margin strength that Valvoline has does vary somewhat from one part of the business to another, and so that's reflected in our outlook for fiscal 2010.
Mike Sison - KeyBanc Capital Markets: Right, all else being equal, it would have went back to $37 though. We assume you got the price increases.
Sam Mitchell: Yes, over time, yes. You know the issue with you know cost increases hitting the business, you know, we tend to have a bit of a price lag in fully recovering those margins.
Mike Sison - KeyBanc Capital Markets: Your assumption for gross margins for 2010 given that you have a very easy comp in the first quarter obviously.
Sam Mitchell: Right.
Mike Sison - KeyBanc Capital Markets: Would-be what somewhere in the low 30s at this point to get to that sort of down from 2009 type of outlook?
Sam Mitchell: You know, I think you're in the right range. We certainly do have a favorable comp versus the first quarter. Our margins improved, you know, last year in the second and third quarters, particularly you know spiking into some timing in the third quarter. So, you know third quarter will be a pretty tough comp, but, you know, I think in general you are in the right range.
Mike Sison - KeyBanc Capital Markets: If you actually catch up with pricing throughout the year given, you know, some of the offsets you talked about, the good odds if oil, base oil doesn’t incrementally go up every quarter, you would actually probably could do a little bit better than that type of outlook.
James O'Brien: Mike, this is Jim, I think (inaudible) think about Valvoline for 10. We think that what they produced last year was just a phenomenal performance, and we think it's going to be very, very good. Well, we don't think it is good as last year.
Mike Sison - KeyBanc Capital Markets: Got you, and then could you give us a little bit of insight on, you know, water treatment and Aqualon, Performance Materials in terms of sort of, you know, given that there should be hopefully some recovery in economic demand over the next 12 months, given cost savings and would you expect you know, maybe some color on whether earnings would improve versus '09 and maybe to some degree?
James O'Brien: I would say that the way we've managed the company, where it's positioned right now, we will make a profit that would be reasonable given a flat demand curve. So if demand is totally flat, you can kind of look at last year's results and give you some perspective of what you think the business can perform. Now, if there is any growth in the economy what we've been trying to do is have some leverage inside of Ashland, so that as that growth occurs we think that we have a cost structure and margins now that as we put more top line growth on it, it should be very dynamic to the performance of the bottom line. So, you know, as you look at the metrics that we have in the business today, as you put growth on that it should have a very strong you know, downdraft on earnings.
Sam Mitchell: Some pretty decent earnings.
Mike Sison - KeyBanc Capital Markets: Right, thank you.
James O'Brien: Thanks Mike.
Operator: And now we'll hear from Dmitry Silversteyn with Longbow Research.
Dmitry Silversteyn - Longbow Research: Good morning. A couple of questions that I want to follow up on, when you announced your price increases for Valvoline to offset the increasing in base oil price, are you -- is your magnitude of price increase basically designed to offset what's already been announced or are you trying to anticipate where base oil prices are going to go over the next quarter. I'm just interested in the pricing mechanism.
James O'Brien: The market is typically moving after base stocks have increased or additive cost, raw material costs have increased. So, you know, that tends to create that lag effect.
Dmitry Silversteyn - Longbow Research: Okay. So you are playing catch up in other words rather than trying to anticipate where the pricing will go and adjust your price accordingly?
James O'Brien: Exactly.
Dmitry Silversteyn - Longbow Research: Okay, all right, thanks. And then I just want to clarify which you meant by getting (inaudible) down to the level that you were targeting and now using your cash generation to improve liquidity. Are you talking about building cash in the balance sheet for some strategic actions down the line or will you still be paying down debt from these levels?
James O'Brien: I believe that where we have achieved our debt pay down, we met our objective. So, what we would do with the free cash flow in the future. We will accumulate that on the balance sheet as cash, and then evaluate our alternatives from there. Do we look at you know, tuck-in acquisitions that may come our way? Do we increase the dividend? Do we buyback stock? I think that we would look at all kinds of alternative ways to increase value for our shareholders, but the first objective is to create some capacity to make those decisions.
Dmitry Silversteyn - Longbow Research: Okay, I understand. What do we need to see, you talked about economic recovery. Obviously, you know, (inaudible) specific sectors that are recovering or specific regions. So what do we need to see in terms of economic recovery in 2010 in markets or geographies to improve the performance of the Performance Technologies and the Aqualon businesses?
James O'Brien: I think Aqualon, the dramatic growth will come out if there is any improvement in the construction market in Europe and Asia. Any strength there would translate very well into a marked improvement in that business. As you look at performance materials, it's automotive and construction mainly in the United States, some in Europe, but they already have some decent growth in Asia. So for those two businesses and inside of performance materials it is little [ph] of US story, if US improves it will improve more dramatically. Aqualon is more of a European-Asian Story. If that improves, it will get better.
Dmitry Silversteyn - Longbow Research: Okay, that's very helpful. And then, final question. You talked about the foreign exchange impact from earnings and profits in the quarter. Can you give us some understanding of a sensitivity of foreign exchange rates to profitability? In other words you know, when the ballot changes by whatever, pick a number of penny. What impact that has on the basket of currencies, on the profitability of the operations?
Lamar Chambers: You know, as you could see, you know, from the bridges that we went through, we had well over $10 million impact on the quarter from the currency exchanges. That's five net I guess altogether. A 1% change roughly in the exchange rate of the dollar against our foreign currency, it gives us about a $2 million affect on our P&L when it is all netted together.
Dmitry Silversteyn - Longbow Research: Okay Lamar, that's very helpful. Thank you very much. That's all questions I have.
Lamar Chambers: Very good.
James O'Brien: We have time for probably one more question.
Operator: And we will take our final question from John McNulty with Credit Suisse.
Helena - Credit Suisse: Hi, this is actually Helena [ph] for John. I was just wondering how long it would take you guys to recover the raw material increase in Performance Materials. So basically can you implement price increases in the first quarter that will largely offset that or will it take longer?
James O'Brien: Normally the -- these price increases have lagged about 2 to 3 months by the time you announce them, and you work it through the system. So, and with the demand there being so weak, I would say at least 2 to 3 months to get those prices through.
Helena - Credit Suisse: Okay, that's helpful. Thank you.
James O'Brien: Okay.
Operator: And I'll turn it back over to Mr. Boni for closing remarks.
Eric Boni: Thanks. Well, we thank you for your participation in the call, and we look forward to speaking to you in the future. Thank you.
Operator: Ladies and gentlemen that does conclude our conference for today. Again, thank you for your participation.